Thierry Breton: Good morning, ladies and gentlemen, Thierry Breton speaking, and thank you for attending the Atos conference call today on our revenue of the third quarter 2016. So I'm going to share this presentation with Elie Girard, our Group CFO; Patrick Adiba in charge of Global Sales. We prepared a short presentation as we have our Investor Day as you all know in less than three weeks on November 8. I will start with the key figures and the highlights of the quarter. Patrick will comment on the commercial dynamic of the Group and also several of our strategy in Q3, and Elie will explain further about our operational performance of the quarter. Finally of course we will have our Q&A sessions with this speakers, and Charles Dehelly and Michel-Alain Proch who are also here in the room together with us. So let's move on the first slide, and as you can see, my main assessment is that we performed the best Q3, both in terms of revenue and new orders, since I have been leading the company. Even if I think we can still do much better next year with everything we have in our hands. Revenue reached €2,777 million increasing by 6.3% at constant exchange rates. The organic evolution shows a strong improvement compared to the last few years and materialize our strategy to leverage our Managed Services business and customer base in order to accelerate the growth of all our service lines. As such, organic growth reached plus 1.8% in Q3 while over the first nine month of the year it was plus 9.7% organically and plus 13.8% at constant exchange rates, fully in line with our annual guidance. The Group order entry in Q3 reached a record €2.8 billion. This represented a 12% increase and a book to bill of 102%, 9 points more than the third quarter last quarter. As you can see, we continued the positive trend performance since the beginning of this year. The commercial activity remains strong, more particularly in Managed Services with the signature of new large contract in U.K. post-Brexit and in Germany. The sales activity was solid in Consulting & System Integration and very strong in Big Data & Cybersecurity as this service line accelerated its revenue growth at a record plus 19% organically. This month also we welcomed in Worldline 1,400 colleagues from Equens, Paysquare as expected, and also from Komerçni Banka Smartpay, which is the subsidiary of Société Générale in Czech Republic. Our North American operation also welcomed 1,700 engineers from Anthelio, specialized in the IT for healthcare. This led to a total number of employees of almost 100,000. On the next slide, just an update of what I presented in July. The quarterly revenue evolution shows the highest quarter in row of positive organic growth. After the necessary transformation of our operations followed by the failure of the commercial reorganization, we performed this year most significant organic growth as we reached 1.7% growth for the nine first months of this year. On the next slide, I’ll summarize the highlights of the quarter. First of all as I told you, we kept a strong sense of momentum. Here are some of the most important deals, two by the way where signed in the U.K., one with the Ministry of Defence for Consulting & System Integration in the public sector, and the other one with Aegon in the private sector, which leaves the large and long-term deal in Managed Services. We also signed in Germany a new large contract with Rheinmetall Defence worth total contract value of €400 million over seven years. Finally a new contract with GasTerra business represented an important sales stream by the new management team. In Q3, we also strengthened our partnership with Siemens as we together launched a complete security solution for our customers in the manufacturing industry. We also delivered digital services for their cloud platform, MindSphere. The corporate responsibility was Atos continues to be recognized for its excellence as we play leadership role in creating value for our stakeholders in an ethical and responsible way. In that context, Atos has been recognized for the first in a row as part of the Dow Jones Sustainability Index, and EcoVadis, an independent agency specialized in corporate social responsibility granted Atos with Gold status for its performance in the sustainable development area. Finally we completed in September the closing of the company acquired in payment scope of our line and in the healthcare sector as I mentioned previously. So I would like to move on the next slide, which are of course the objective of course of the year. This is an easy slide since we are not going to change any again three months before closing, but today we are of course in the position to confirm each of them. Thank you. And now Patrick, the floor is yours.
Patrick Adiba: Thank you, Thierry. Good morning, ladies and gentlemen. Patrick Adiba speaking. I will start my presentation with the key commercial figures for Q3. The total Group order entry reached €2,845 million in Q3, representing a book to bill ratio of 102%. Q3 book to bill being usually between 85% and 95%. We considered the level of signature in Q3 as particularly high, in this, it represented an increase of plus 12% year-on-year. In line with this positive evolution of Atos commercial activity, the full backload at the end of September amounted to €19.3 billion representing 1.7 years of revenue. The full qualified pipe was €6.4 billion at the end of September, representing almost seven months of revenue. It is at the same level at the end of June, despite the high level of bookings in Q3, which is showing a promising trend. Let me just add that the Atos top accounts continued to represent the main driver of the Group revenue growth with a plus 6% organic growth this quarter after plus 4.4% in H1. This reflects the results in delivering added value cross-selling. On the next slide, you see the commercial activity this quarter. It not only shows a very strong activity but also a positive trend for the next quarters. We did progress in the majority of our markets, and in particular, manufacturing as well as defense and security area. In the majority of our geographies with a particular remarkable 128% booking growth in the U.K., another strong sign of our resilience to the Brexit effect. To be noted, an increasing set of our portfolio solution related to the digital transformation of our customers. I also want to reiterate the fact that this record level of orders was obtained while keeping the same level of pipeline which gives us a solid trend for the future. Let's move on now to some specific wins in Q3. Rheinmetall, which is an important contract we took over [indiscernible] IT service subsidiary. We will now have the full responsibility for most part of the digital agenda of the German defense manufacturer. This extensive set of services covered in particular telecommunication, workplace utilization, cyber security, SAP, document and navigation management and e-business. Atos will take over the operation of the three data centers in Germany. Also in the defense area, we signed an important contract with a British Ministry of Defence, targeting a full scale digital transformation. The British authority has successfully embarked on a radical transformation of their IT infrastructure and services. Their ambition to deploy a full Defense as a Platform concept to address issues of the agility user experience, end-to-end service management and value improvement. It’s a comprehensive organization and an information and communication application and service transformation supported by Atos. Let's move to Aegon, another win of this quarter. Continuing with our mission to support a digital transformation agenda of our plan, the agreement with Aegon with the Atos managing all aspect of the customer journey for this insurance group, from initial underwritings through to claims management and easier protection offering which comprise of full portfolio of life insurance critical in visibility and income protection products. There are 500,000 clients will benefit from our analytic solution through all the digital channels. And let me finish with this quarterly snapshot with GasTerra, one of our customers in Benelux. Not only do we manage the completed infrastructure but we also commit to [indiscernible] and the GasTerra business application the communication services. This partnership also has a specific dimension regarding sustainability and green IT. We will particularly leverage for GasTerra our green data center solution to significantly reduce CO2 emissions. Moving to the next slide, as we had significant contracts signed in Q3 in defense and security, let me summarize our position in this sector. Through the British Minister of Defence, our Rheinmetall examples will show with continued business with other customers and solution in France or in Spain. This quarter’s slide put us a particular strong-ness of the importance taken by Atos in defense and security in Europe. The growing pressure on law enforcement to counter terrorism or safety and first response organization is creating the strong investment dynamic in the digital defense and cybersecurity. It’s a trend we observed amongst all our customers. Atos is now present in the main European countries and a trusted digital partner for their defense of Homeland Security authorities. We’re leveraging our broadened portfolio of defense grade digital technologies. In particular, Atos has a proven expertise in all application and usage segment of defense and security with very differentiated assets in high performance computing for our next generation intelligence and predictive security, intelligence end-to-end offers from sensors to big data in order to bring intelligent system to the internet-of-things; Tactical Information system for the zero equipping law enforcement safety and rescue; Homeland Security with an end-to-end capability and expertise; and Cybersecurity geographic products and solution which allow to grow from security, identifying and assessing risks for attacks to prescriptive service security, meaning capable of inventing and implementing the appropriate response. That’s what we do with the European defense agency for the operation management of large scale IT system in the area of security and justice called eu-LISA and that’s what we do also with CENTINELA system at the Spanish border with real-time automated facial recognition. This concludes the commercial update. And on this promising note, I hand the mike to Elie.
Elie Girard: Thank you, Patrick. Good morning, everyone. Elie speaking. I’m going to cover now the operational and financial performance of the third quarter. First let's start with the reconciliation between statutory and organic revenue, also including revenue at constant exchange rates as it is one of our objectives this year. We reached €2,777 million, representing a growth year-on-year of plus 2.5%. Exchange rates had a negative effect of minus €95 million, mainly attributable to the British pound with a 9% year-on-year depreciation versus the euro. Therefore revenue performance at constant exchange rate was a plus 6.3% growth in Q3 this year. Scope effects on revenue amounted to €117 million and were mainly related to the positive contribution of Unify services. It includes revenue made by Unify services with Unify Software & Platform. As a remainder, only the services business of Unify, which is basically communication and collaboration services, has been transferred to Managed Services and is part of Q3 revenue this year, as it was the case in H1. As planned, the Unify Software & Platform, so-called S&P business, is not part of Atos revenue and is recorded in discontinued operations. Therefore it is not consolidated. Revenue basis was also adjusted by minus €11 million for the disposal of the occupational health governmental activity in the U.K. sold in December last year and by minus €23 million for the reduction of Xerox ITO scope people closing compensated by a purchase price decrease. Therefore revenue growth at constant scope and currency was plus 1.8% in Q3, in line with the plus 1.7% recording for the six first months of the year. Finally, the move from above 11% to above 12% of our objective for the full-year growth at constant exchange rate is explained by the contribution of Equens, Paysquare, Komerçni Banka and Anthelio as of October 1 impacting Q4 by circa 1% of the full-year total revenue. On the next slide, you can see for your records, the year-to-date September revenue figures reconciliation. Exchange rate effect was €203 million due to the British pound and scope effect totaled €893 million. Revenue growth reached 13.8% at constant exchange rate for full-year guidance of above 12% and organic revenue growth was plus 1.7% for full-year guidance between plus 1.5% and plus 2%. The next slide presents the performance by service line. With 58% of the growth in the third quarter of 2016, Managed Services revenue was €1,603 million, plus 5.0% year-on-year. At constant scope and exchange rate, revenue increased by plus 1.2% of other period, demonstrating an accelerated growth compared to the first semester, which posted plus 0.6%. In the context of transition towards cloud, the service line recorded a stronger organic growth, thanks to market share gains. Growth materialized primarily in North America, benefiting from the full integration of Xerox ITO and fueled by increased activity with several large customers within the Manufacturing and Telecom, Media & Utility sectors. The U.K. managed to restore a healthy growth driven by additional volumes within the public sector mainly. Germany and France confirmed the positive trend of starting this second quarter mainly benefiting from increased volumes respectively in the manufacturing and public sectors while Asia Pacific and South America continued to achieve a solid growth, notably thanks to growing volumes in the telecom sector. The situation remained more challenging for Benelux and the Nordics due to ending contracts notably in financial services with the effect of the ING contract. Over the first nine months of the year, the Service Line grew by plus 0.8% as the Group continues to successfully drive the transition with customers to hybrid cloud infrastructures, resulting in increased volumes and market share gains through new contracts. With 27% of the Group in Q3, Consulting and Systems Integration revenue was €767 million in the third quarter growing at plus 1.0% at constant scope and exchange rates and consolidating the trend observed in the first semester at plus 0.5%. In particular, Germany strongly grew confirming the positive trends recorded since the beginning of the year in most of the markets. Growth also came from Asia Pacific, Middle East and Africa and South America. France remained stable. Central and Eastern Europe, and to a lesser extent, the U.K. and Iberia remained under pressure notably due to the delayed start of several contracts. Over the first nine months, organic growth continues to improve and reached plus 0.7%. Revenue in Big Data & Cybersecurity was €134 million, representing 5% of the Group, plus 19.1% organically, showing an accelerated growth in this quarter compared to the first quarter - first semester of 2016, which was posted at plus 12.8%. The activity was very strong in both Big Data & Cybersecurity and most geographies posted growth. In the public sector, growth was led in particular with mission-critical systems in France and with HPC activity in Benelux. Telco, Media & Utilities was also fast growing with HPC deliveries in France and in Germany. The Service Line had a strong start in North America, more particularly for Cybersecurity solutions and they did in new Managed Services contracts. Year-to-date, revenue grew by plus 14.6% as a result of the strategy to cross-sell the offerings on top of the traditional research and defense sectors and with international developments beyond France and Germany. Worldline contributed revenue was €283 million, stable compared to last year on a like-for-like basis, while on a stand-alone basis revenue reached €294 million in the third quarter of 2016, up plus 0.2% at constant scope and exchange rates. Increased transaction volumes within the two business lines, Merchant Services & Financial Processing, fully compensated for the anticipated negative impact of the end of two contracts, VOSA and Radar, in Mobility and e-Transactional services. Merchant Services growth was sustained by commercial acquiring higher transactions and increased volumes in payment terminal sales in both domestic and international markets. Financial Processing grew, thanks to a strong level of transactions in issuing and acquiring processing, coupled with increased activity in authentication services across European countries. Mobility & e-Transactional Services decline was fully closed by the base effects from the VOSA contract termination in the U.K. ended in the third quarter of 2015 and the Radar contract ended in June 2016 in France. This was partly mitigated by a strong activity in e-ticketing in rail in the U.K. and automatic fare collection volumes in Latin America. The Service Line grew by plus 3.9% over the first nine months of the year. As soon as Q4 2016, Worldline will consolidate additional revenue from Equens, Paysquare and Komerçni Banka Smartpay. Let's move to the next slide with the performance by business units. As you can see in the third quarter, the main contributors to the Group revenue growth were North America, Germany, the U.K. and France which were pursuing the H1 positive trends. North America performed well, thanks to the increased volumes in new contracts with private cloud components and the strong start of Big Data & Cybersecurity. The acquisition of Anthelio had been closed at the end of September to drive future growth in the healthcare sector. Germany improvement was led by Consulting & Systems Integration where the recovery plan materialized in both bookings and revenue growth, and in Managed Services where additional business driving growth. France performance resulted from the continuous momentum of Big Data & Cybersecurity and the successful recovery in Managed Services. The U.K. was also back to growth in the third quarter after having faced a base effect in the first semester benefiting from both increased volumes and additional sales in Managed Services. In the U.K., we clearly benefit from an active public sector and also from a low exposure to financial services. As expected, Benelux and the Nordics did not return to growth in the third quarter and posted a decline of minus 6.2%, mainly resulting from the ramp down or termination of contracts in Managed Services. Other business units slightly declined as this very good performance from Asia Pacific, South America and Middle East and Africa did not fully compensate for the decline in Central and Eastern Europe attributable to new project delayed into Q4. On the next slide, you see that total headcount was 96,396 at the end of September 2016. The Group recruited in Q3 almost 5,000 new staff. The increase of the Group workforce compared to end of last year was mainly due to the circa 5,200 staff who joined the Group from Unify on February 1, 2016, of which circa 3,300 staff in Unify Software & Platform. The Group hired more than 13,000 staff during the first nine months of the year balanced between offshore low-cost countries and the U.K., the U.S. and large countries in Continental Europe. Indeed the Group focused also its recruitment on high skilled and experienced engineers in our new offerings while customers require a local presence close to their business and premises. Excluding Unify S&P, the number of direct employees at the end of September was 87,524, representing 93.7% of the Group headcount. On the next slide, you can see the breakdown of our new colleagues joining Atos through our recent acquisitions. 1,700 coming from Anthelio, of which 1,300 in the U.S. and most of the rest in India, and circa 1,400 joining Worldline with the acquisitions of Equens, Paysquare, Komerçni Banka Smartpay. Most of them are located in the Netherlands, Germany and Italy. My last slide presents our usual update on Unify. Since the closing of the acquisition, the integration plan has been rolled out. As part of this plan, the restructuring program has been deployed and accelerated compared to the initially planned timing. As such, over the first nine months of the year, 988 staff were restructured compared to the 800 full-year target plan. Actions for reduction of non-personnel costs, in particular in real estate, fulfillment and IT, are delivering ahead of the full-year objective and the €50 million savings target in 2016 versus 2015 is already fully achieved. I would like also to update you on some key operational indicators on Unify S&P that were presented in the last quarters. We measured the expansion of the indirect sales channels by the number of partners. This number grew by 30% since the beginning of the year. We also track the number of users of cloud-based communication with the target to make it grow by 20% per year. Over the first nine months of the year, we grew from 203,000 users to 251,000, an increase by 24%. Finally, we followed very carefully the deployment of the Unify S&P Circuit collaborative tool with a target to reach 500,000 users by year-end. So far, 66,000 users have joined this communication solution and we are currently implementing the deployment within Siemens and soon within Atos which will drive the number of users to the target. Thank you. And now it’s back to you, Thierry.
Thierry Breton: Thank you, Elie. So let's move to the last slide and before leaving the floor to the question just to outlook. So this year, we are able to realize the strategy implemented year-after-year to return to growth, thanks to our leadership in Managed Services and our infrastructure and data management business model. In this environment, we capitalized on the strong demand of our customers in cloud and digital. I can obviously add Big Data & Cybersecurity. In Q3, we had the confirmation of the objectives that we target for the entire year 2016. Going forward, remember that we will have a full day together in three week where we will take - present on our three-year plan 2017-2019 and provide our next mid-term targets. So thank you. And now let's move to the questions.
Operator: Thank you. [Operator Instructions]. We will now take our first question from Brice Prunas of Exane BNP. Please go ahead. Your line is open.
Brice Prunas: Yes, good morning gentlemen, and thanks for taking my questions. I have two actually. The first one is related to the run rate of your organic growth. So particularly with Q3 already at 1.8% despite Worldline at zero, and with this prospect of the mechanical improvement at Worldline in Q4, I’m wondering if you could not action today that you could have run IT in Q4 slightly above 2%. And finally when you see your core IT to deploying at 2.0, what conclusion do you drill from that because a few years ago it was not so good? The second question is North America, basically several IT services and software companies have experienced some sign of weakness there lately. On your side, have you start to see some early sign of sluggish markets there? And in case of U.S. recession account [ph], how would you go to resilience of your assets in that region? Thank you very much.
Thierry Breton: Thank you, Brice. So I will take the first one and together Michel-Alain and myself, we will bring our vision from both side of that. So in terms of Worldline, yes, you’re right, which is a good performance, although the past three quarters but with as I said of course three months before closing, we’ll not change our guidance. So as we say that we are comfortable with the guidance we gave for the top line in the year 2016. You’re right, 2% in ITS was a strong achievement. Please wait another three weeks, so I will give you what kind of consequence I can know on these very solid trends but obviously you will see that the guidelines that I will give for the next three years on our Investor Day will take in consideration definitely this good trend in both ITS but also in Worldline after we come with the impact of VOSA and Radar. You could start to imagine what could be my guidance for the next three years. North America today, at least from this side of the ocean, I don’t see and I don’t expect a recession but of course it’s pretty difficult since we will have this election year and the consequence of this election year, even if we can already start to forecast what could be the outcome of the last debate last night. But it’s too early to say but just remember, Brice, that our business model is extremely robust when we have slow growth or even maybe a recession because of course of our large contract base on mid-year of the new growth. And Michel, do you want to add something from your side?
Michel-Alain Proch: Yes, Thierry. Hello everybody, Michel-Alain speaking. So yes, indeed on our markets and our service line, we do not see the softness that other competitors have experienced. There are two main reasons for that. The first reason is that we are not exposed to financial services in the U.S., almost none. I mean, we just have one contract with a retail bank, and the other reason is that our footprint in C&S side, so in sequential expense is relatively small. Moreover we are exposed to sectors which are actually growing and growing fast. As you know, we have increased footprint in healthcare and we are exposed to hospitality and retail, both sectors going well.
Thierry Breton: Next question please?
Operator: We will now take our next question from Mohammed Moawalla from Goldman Sachs. Please go ahead. Your line is open.
Mohammed Moawalla: Yes, thank you. I was wondering if you could commend around just the Big Data & Cybersecurity business in more detail. That’s obviously now accelerated into strong double-digit territory. I know it’s a small part of the business, but can you talk about the sort of various pricing and volume dynamics here? And then secondly, as you look at the business mix, could we see sort of further acceleration as we move into next year on Managed Services and System Integration, particularly System Integration given that’s still progressing at sort of a flattish to 1% run rate? Where do you think that business can get to? And then my last question was given this improvement in sort of organic growth, we’re now starting to see as a result of kind of the new business model as you say. How does this sort of change your thinking on M&A? Do you still expect to be quite acquisitive going forward or will there be more emphasis around organic growth? Thank you.
Thierry Breton: Thank you, Moh. Maybe I will take the first one, and Charles and Patrick could jump in also. Elie will take the second one, and I will come back with the M&A. Yes, Moh, in Big Data we are pretty happy with the performance of this quarter, almost 20% is extremely solid and I could tell that we see a very strong selection in this business line, lot of demand, our product are extremely well received. Definitely on the mid-term I think you should see this business line growing double-digit for sure and more specific area. Patrick, Charles, do you want to add something?
Patrick Adiba: Yes, Thierry. Patrick speaking. Just on the commercial dynamism on business, clearly we are now - we see a good dynamic in the sector of defense and security but also we are embedding solutions in most of our offers. I mean, most of the offers include some portion of security or offer Big Data and this is why we see also this dynamic across the board I would say in any of the offer where we embed those solutions.
Elie Girard: This is Elie speaking. On your second question, Moh, on the mix of dynamics of the Service Line, what I can say this morning is that we confirm that we see definitely an acceleration going forward in Consulting & Systems Integration. For the rest, I think we understand that we will talk about the detailed dynamics by Service Line and the mix on the Atos November at the occasion of our Investor Day.
Thierry Breton: Thanks Elie. In terms of M&A, Moh, I think that the fact that we are coming back to growth which was expected of course will not change anything in our M&A strategy and obviously we are in a business where we need to continue to see any kind of opportunities. This is a business we are in. But the good news is that now we have in our DNA - we had in our DNA developed over the past years, a very strong ability to integrate and I think as we tell you honestly that’s something that we believe we do maybe by sticking out in the market and I think changing the team, we keep teaching the team how to do it but I think we did it pretty successfully over the past few years on our acquisitions which is probably now in the DNA of Atos. And we had to continue because we are in a business where we need to go and to find opportunities but the good news is that now we have also in our DNA goals again, so you need to see us as growing in the future both organically and through acquisition. But remember, Moh, we are almost extremely careful with our acquisition and every time we make an acquisition it is because we are absolutely certain that it will create value for our stakeholders and shareholders, but of course we have the ability to do this. We don’t have any data you know, and we could be continuing to watch our business. Q - Mohammed Moawalla Thanks great. Thank you very much, Thierry.
Thierry Breton: Thank you, Moh.
Operator: We will now take our next question from Laurent Daure from Kepler. Please go ahead. Your line is open.
Laurent Daure: Yes, thank you. Good morning gentlemen. I have three questions on my side. First, if you could come back very quickly on the performance of the Big Data. Again I just want to make sure that in the 19% you would not have one-off delivery of some [indiscernible] that reflected just for one quarter the performance. The second point is you had some pretty cautious comments about the financial sector. I saw that it was still slightly declining. Can we have a little bit more color because I think there still are one or two contract that are ramping down. Do you see some weakness in this vertical in general? And finally, you gave us some pretty bit statistics about Unify, but can we have also some idea of the traction you’re having on the revenue side for this unit? Thank you.
Thierry Breton: Thank you, Laurent. Elie, you can take maybe these questions together with Patrick.
Elie Girard: Sure Thierry. Hi Laurent, so on Big Data & Cybersecurity, as Thierry said, definitely this business is demonstrating a strong dynamic and it confirms it generates double-digit growth. We did not have especially one-off sales in Q3. Now you can have valuation as you saw in the last quarters from one quarter to the other, but I confirm we didn’t have a kind of big exceptional in Q3. This is completely part of the business and of the dynamic of this very strong service line. On financial services, I mentioned it a little earlier. We don’t see - again apart from the U.K. to which we are very - we have a very low exposure in financial services, we don’t see any specific issue outside of the U.K. We have little issue in BTN, in Benelux and the Nordics that I mentioned earlier with some ramp downs in termination of some contracts especially with ING and this is what explains what you mentioned on financial services and which is not new, the ING contract ramp down is not new. On Unify, so what I can say on Unify is that as your question was on the dynamics of the commercial activity of Unify. As you know, we don’t disclose precisely those numbers, but what I can say is that definitely the commercial activity is being compared to the situation before the acquisition, I think, with are complete, and we had started to implement the cost saving with Atos in - interesting because we’ve just talked about BDS, Big Data & Cybersecurity which is the figures you’re seeing here are exactly the result of the cost saving strategy we implemented on the three acquisition. We are doing exactly the same on Unify and it’s starting to show progress in results.
Patrick Adiba: Yes, absolutely we have started to cross-sell with our installed base of clients. We have very strong plan and we see that when we offer solution to our client the fact of adding communication and collaboration is clearly robust, so we start to grow the pipeline. Of course this would be too early to disclose the revenue and EBIT. We have a very strong dynamic on our install base.
Laurent Daure: To your €100 million EBITDA on the platform side, as you’re international company or do you need to do additional cost-cutting in the quarters to come or is this mostly on track?
Elie Girard: Laurent, so Elie speaking. I can confirm the €100 million of EBITDA in 2017 and we’re done and the actions are behind us. That’s what I tried to show you in my last slide. Restructuring has been done. The savings from the non-personnel cost, IT, real estate and procurement, all the actions has been implemented, closing of sites, change of contracts and so on and so on. So we are now on the proper run rate which will mechanically lead to the €100 million of EBITDA in 2017.
Laurent Daure: Okay, great. Thank you.
Thierry Breton: Laurent, I would like to add maybe one point and comment on the financial services, as Elie said and as you noticed that it is our only market which is declining today, but I would like to tell you as it is both in my actual capacity but also as a form of years and years ago Finance Minister, it is obvious that the Brexit has definitely an impact on this - globally on this market since as you know [indiscernible]. So that in London all financial institution are waiting to see what will happen and definitely this was an impact globally, not only in the U.K. but globally since almost all big financial institutions don’t know at all what we do, how to anticipate, where and if that will locate and this had definitely reduced or slowdown some of the big contract. In Unify and work, I’m seeing our strategy is very clear here. As Elie said, we are very comfortable with €100 million EBITDA targeted in 2017 and we’re extremely clear - we are happy with it. It’s working extremely well. Michel and his team are doing a great job here to deliver what they are due to deliver, and again this has created a lot of attraction from the market so we may discuss with partner as we have some partner interesting but for me as I’ve always said, we will select the solution which will create the biggest value for our shareholder either with a partner or internally, and of course we will be continue to monitor this very carefully, but in both direction, thanks to the very good work and very good capacity of integration that we have made. This will go in the right direction.
Operator: We will now take our next question from Michael Briest of UBS. Please go ahead. Your line is open.
Michael Briest: Good morning. Thank you. In terms of Unify there, Thierry, the Software & Platforms business there, would you say today the likelihood of you keeping the business given all the cross-sell potential, €100 million of EBITDA etcetera is much higher than it was when you bought the asset at the start of the year? And then secondly, Elie, just on the scope adjustments. I think you mentioned there were some Xerox disposals of about €23 million. When I look at the H1 reconciliation, there wasn’t any reference to that. So is that something which is only coming in now and what should we expect the effect to be in Q4 and next year?
Thierry Breton: Thank you, Michael. No, I didn’t say that. I just want to be again very clear when we make acquisition we dispose, as you know, part of the asset and we would very clear what were our decision on this. But to tell you the truth, I should tell that the integration is going extremely well and we are comfortable with the figures that we gave you. So yes, it’s true that in the broader we have some of our [indiscernible] when thinking, hey, why don’t we keep the business because it’s doing great and obviously it complements pretty well our offerings but still I’m telling you that this has created a lot of attention from potential partner on the market and we will select the solution which will create the best value for our shareholders. The good thing is that we have now the options, but as you know and we wanted to be quick, so you will hear from us here, we have the two options. It’s true that I’m a member of [indiscernible] but we are continuing also external partnership solution and we will come back to you. Elie, could you take the second one?
Elie Girard: Sure. Hi Michael, this is Elie. On your question on the Xerox ITO, yes, I confirm that we talked about it precisely at the time of the annual results of 2015, especially with the price adjustment that we disclosed at that time already and we re-discussed that at the time of the Q1 results and again at the time of the H1 results. So it’s clearly not a new topic. And I can tell you so that it will continue until Q4 and will stop. There will be no adjustment starting the January 1, 2017.
Michael Briest: Okay, I’ll check my notes on that. And then just could you give us an overview of the Big Data & Security business, maybe just what proportion of revenues are software, what proportion are hardware, and what proportion is services because it’s obviously a high margin business but there is different forms. It’s not pure services business.
Thierry Breton: Elie, you’re…
Elie Girard: Yes, sure. Michael, so it’s - obviously we do not disclose the different categories of revenues within each service line but what I can tell you is that it’s broadly half-half. So half hardware like HPC experience and security software and half services especially with implementation and the integration of those software and hardware.
Michael Briest: Okay, that’s helpful. Thank you.
Operator: We will now take our next question from Stacy Pollard of JP Morgan. Please go ahead. Your line is open.
Stacy Pollard: Thank you. You still got good demand in hybrid cloud in the U.S. in particular. How do you see demand developing in Europe? Second question just within Managed Services, you spoke of gaining market share. Do you think you can continue to gain share and accelerate growth in that area into sort of Q4 in 2017? And finally, can you please discuss your free cash flow conversion rates, so progression and expectations going forward?
Thierry Breton: Thanks Stacy. Michel-Alain, I think it will be interesting to give us your region from the U.S. and then together with Patrick, he will come back and then Patrick and Elie will take the second and third question.
Michel-Alain Proch: Sure. So the hybrid cloud is progressing extremely well in the U.S. It’s one of the reasons of the performance we have been posting consistencies in the beginning of the year. You know that we have created an offer which is called Digital Edge and that we have different offers called Digital Edge. One of them is Digital Edge Infrastructure. And this is our Orchestrated and Automated Cloud, which is encompassing legacy infrastructure private cloud and public cloud. We have mostly developed our APIs with public cloud with AWS and now we are integrated this quarter Azure. So we have AWS and Azure totally integrated into our hybrid cloud model. With these two public cloud we are representing the largest part of the market. So indeed this offer is progressing really well. As you know, we sold it to an agricultural chemical company and we sold it to Texas DIR in the U.S. and this is what is important because this is not an offer that has been created for the U.S. and you know that the drive of the service line in Atos is global. So it’s a global offer and we are deploying it in Europe to win. We had last quarter and this quarter show that this offer is spot on. Patrick?
Patrick Adiba: Yes, definitely, Michel-Alain. We see the same trend. As I said earlier, we have many projects of digital transformation with our clients in pretty much all the conversation we have about digital transformation we need the hybrid cloud solution and clearly it’s a fact that we have an advanced solution is very promising. So we have - yes, a big demand with our clients and we are progressing and we stay the same way in Europe and beyond Europe.
Thierry Breton: Elie?
Elie Girard: Hi Stacy, this is Elie. So on your third question on the cash conversion, just to remind you that for the full-year 2016, we’re targeting to be above 50% after 43% last year. We showed an improvement to the cash conversion already in H1 2016 versus H1 2015 of 12 points, 12%, and we confirm our medium term target to be at 60% of cash conversion. Obviously that would be part of my presentation on the November 8 as it shall a very strong focus overall operations in the company.
Stacy Pollard: Thank you. Any thoughts about market share gains in Managed Services?
Michel-Alain Proch: Yes, it’s Michel-Alain again. I think we’ve explained that and we will obviously in much more detail on the November 8. But the infrastructure in data management sector is going through a huge revolution which is only comparable in my view to what happen in system integration which showing, so deep revolution because it’s associating different type of technology. As we know, private cloud, public cloud and automation and really gets the infrastructure and it is actually going back to something that we knew a long time ago in the back that which changed over years which is the fact that application and infrastructure are more and more integrated one another because when you move something to the cloud, you need to take care of the application, the ability to move it to the cloud and to the infrastructure and we are providing this breath of technology. At several time I have spoken about our capacity in orchestration and in automation. We had added with Eric Grall and Charles another capacity which is a capacity to cloudify between brackets and application. You know that for another term which is called containerization [ph], so we put application in a container and which is enabling us to move it to cloud infrastructure. We will go into detail obviously - I will go into detail by the way during the November 8 with Thierry on that point but the key elements specifically it’s an enabler of this huge cloud transformation and there are the players who have this ability and those who do not have the ability, I believe we are in the first basket.
Thierry Breton: And Michel-Alain, I will add that of course there is a link between our huge transformation that you just described and the new era of Big Data is definitely our Codex strategy, which is we believe a very strong powerful and unique end-to-end solutions to provide locally where the data are. So I believe can both to manage and as well infrastructure business and also to provide all the benefit of the new digitalization and of definitely we speak a lot about this because the Codex strategy is something that we are very proud of and make us I think extremely strong now in the future offer of this new era. And by the way it is done more and more locally next to the customers. Next question please?
Operator: Thank you. We will now take our next question from Amit Harchandani of Citigroup. Please go ahead. Your line is open.
Amit Harchandani: Good morning, gentlemen. Amit Harchandani from Citigroup. And thanks for my question. I was just wondering if you could potentially share some thoughts about your delivery model clearly with respect to offshoring your targets on Consulting & System Integration. On the other hand you’ve also actively talked about automation. I appreciate maybe you would expect to give more details at the upcoming Capital Markets Day, but if at this stage you could talk about whether any shifts in delivery model has enabled you to accelerate the organic growth and become more competitive versus competition, and whether that is actually translated into any real competitive wins for you? Thank you. That would be my first question.
Thierry Breton: Michel-Alain, I think it’s something - some interesting question.
Michel-Alain Proch: Yes, sure. Amit, it’s Michel-Alain. Actually you’re absolutely right and you are spot on. Indeed what we have been doing for several years now is heavily investing into automation solution. Automation solution in the main states of the group which is our infrastructure management so meaning automating service request, incident management monitoring with state of the art solution and we have made the decision at Atos to have several solution being deployed into our infrastructure to be more efficient possible. So you’re right on the fact that we believe that this is bringing more value through the end customer to our clients that is simple offshoring both in terms of savings but what is important too and mostly focused on some time by the market is in terms of quality, quality and sustainability of the solution. So it doesn’t mean that we do not carry on offshoring our resources. We do that with a steady base on which we are reporting every semester but the priority of Atos by far is automation of our processes both in infrastructure and system integration. Obviously we began by infrastructure as it was the largest service line and now we are deploying it in system integration too, particularly in ‘15.
Amit Harchandani: Great. And secondly for me just as an unrelated follow-up. Could you remind us if there are large contracts coming up for renewal for you over the next 12 months that we should be aware of when we’re updating our model?
Thierry Breton: Elie?
Elie Girard: Yes, we have of course renewals as usual in the next years as we had in the past years with the rate of success which was very high by the way, and it’s especially in the media - Telecom, Media & Utility sector in the U.K. but not before the H2 of next year. Q - Amit Harchandani Thank You, Elie.
Operator: We will now take our next question from Charles Brennan of Credit Suisse. Please go ahead. Your line is open.
Charles Brennan: Thanks very much and good morning. Just two questions for me both on Unify actually. The first of which is the order entry up 12% is a very good number, but can you just identify how much of that’s come from Unify during the quarter? And the second one is just from the half-year accounts, can you talk us through the dynamic behind the loan from borne towards Unify discontinued activities? Thanks.
Thierry Breton: Thanks Charles. Elie, you take the two questions.
Elie Girard: Yes, so on the - hi, Charles. On the first question, as I said earlier, we do not disclose those numbers but what I can tell you is that you have no significant impact from Unify on the number. We disclosed both on the book to bill and order entry growth, the 12% you mentioned. That’s for the part of Unify, which is CCS, which has been consolidated in our accounts. And so the part which is not consolidated, as I said earlier, the commercial activity is improving and the book to bill therefore as well. On your second question, I mean, I think there is no - there is absolutely no change to what we said at the time of the H1. There was a loan. When we bought Unify, there was a loan which was from at that time, it was a closing from Siemens and Wells Fargo, an external bank to Unify, and we took it over but I think if you want more details we can of course have a specific session and further disclose with you and Gina [ph].
Charles Brennan: Great. That sounds good. Thank you.
Thierry Breton: Thanks. Maybe one or two last question?
Operator: We will now take our last question from Kévin Woringer of CM-CIC. Please go ahead. Your line is open.
Kévin Woringer: Yes, good morning gentlemen. Thanks for taking this last question. I have two actually. Just a quick one on M&A. Do you plan to do other acquisition in the type of Anthelio focusing on a specific vertical? Do you have this type of acquisition in the pipe? And if you could maybe give us more color on the verticals you would be focusing on? And my last question is about Unify, so since they are also joining behind us now. Do you have more visibility on the solution that you will choose selling or partnering with someone and visibility on the horizon maybe by the end of the year or maybe by end of 2017, if you can comment on that, it could be helpful. Thank you very much.
Thierry Breton: Thanks Kévin. So for the second question, I think I already answered but I will say again that where we stand. Again we are pleased with where we are going with Unify. Like always, we never change our position but we have the option. What I could tell you is that we have good interest from a potential partner to create value together with us. We have also options to keep it in house and I will have to take our final decisions in the following months but I don’t want to wait too long because things are going well in the both multiple direction but at the end I will take the decision [indiscernible] which will create the largest value for our shareholders, and definitely I will not wait the end of 2017 to inform you. You can make sure on this. It will be done much earlier. Regarding M&A, yes, of course, we continue to look at interesting verticals, especially in the U.S. but not - Michel, you want to add something, because we have here also few opportunities and we’re extremely happy with what Michel-Alain from through his acquisition in the U.S. it help us much in a very important market and a growing market. Michel-Alain if you want to add final comments in here?
Michel-Alain Proch: Yes, Thierry, just making a small comment [indiscernible] commented is the fact that whatever President the American will choose, it will obviously affect the healthcare sector either by a reinforcement of the Obamacare or by dismantlement of the Obamacare. And in both cases, it will trigger large activity into IT healthcare as there is - there would be change to be made, so mostly he was speaking the healthcare market as I’m sure you know the gentlemen.
Thierry Breton: Michel-Alain, don’t spend too much time on the election maybe.
Michel-Alain Proch: Okay, Thierry. But anyway, so healthcare going well in the U.S. for sure.
Thierry Breton: Okay. And that we will have other option that we will continue to discuss. By the way we’ll discuss all these and even more on our Investor Day in three weeks from now. We hope that you will be able to join us. I will be very happy together with our colleagues, welcome you in Bezons. We plan to have a very interesting day for you. I believe that we had a successful past three years, and believe me, we are ready to present to you a very exciting next three years. Thank you all for being with us today and looking forward to see you in three weeks. Thank you.